Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2012 RBC Bearings Earnings Conference Call. My name is Lacey, and I’ll be your coordinator for today. [Operator Instructions] As a reminder this conference is being recorded for replay purposes.
 I would now like to turn the presentation over to your host for today’s call Mr. Adam Sigel. Please proceed. 
Adam Sigel: Good morning, and thank you for joining us today for RBC Bearings' fiscal 2012 third quarter earnings conference call. On the call today will be Dr. Michael J. Hartnett, Chairman, President and Chief Executive Officer; and Daniel A. Bergeron, Vice President and Chief Financial Officer.
 Before beginning today's call, let me remind you that some of the statements made today will be forward-looking and are made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those projected or implied due to a variety of factors. We refer you to RBC Bearings' recent filings with the SEC for a more detailed discussion of the risks that could impact the Company's future operating results and financial condition. These factors are also described in greater detail in the press release and on the Company's website.
 Now I would like to turn the call over to Dr. Hartnett. 
Michael Hartnett: Thank you, Adam, and good morning. First 9 months of our fiscal 2012 continued to show strong organic growth in both our diversified, industrial, and aerospace markets. We continue to see solid order volumes across our key markets and good execution by our manufacturing facilities.
 During the third quarter, our sales were $95.1 million, an increase of 17% over the same period last year. The strength in our industrial markets continued through the third quarter, with sales of our industrial products up 18% on a year-over-year basis. This increase was driven by strong demand from both distribution and OEMs, with year-over-year rate of 12.6% and 20.1%, respectively.
 Our major markets continued to respond well for our product offering, engineering support, and service levels. Sales of industrial products for the period represented 52% of our total revenues, and aerospace and defense represented 48% of those revenues.
 Last call, we discussed the strength and breadth of demand from our served industrial market. The picture today remains is strong now as it was then. Market leaders in this sector continue to be mining, oil and gas, ground defense and general industrial distribution. Orders from our customers in the oil and gas markets remained strong and building. New products are being added to support equipment in the hydraulic fracturing markets, as well as both onshore and offshore energy development. Construction of large equipment for the mining sector continues to expand through the period as reported by the equipment builders during their conference calls.
 In Europe, we are also encouraged with the reception we see for our new products for the Machine Tool industry and the results of new marketing initiatives for sales of these products in Asia. Finally, we are experiencing volume expansion at our industrial distributors in the United States. This is driven by replacement markets of mining and oil and gas, as well as an overall improvement in company coverage in these markets.
 Relative to our aerospace and defense business, these businesses grew 16.1% in the third quarter compared to the same period last year. The positive development in the aircraft markets we spoke about last call continue today.
 Strong book-to-bill ratios at large aircraft OEMs was again demonstrated in calendar 2011. As you can see from our third quarter results, this sector continues to perform very well for us.
 As reported on our last call, we remain busy in the sales, marketing, engineering, and manufacturing, preparing for the next leg of the expansion to support the manufacturing plans of the plane builders. There are numerous new products under development or entering the manufacturing cycle. Frequent customer visits to our facilities, some visits to gauge our readiness to support production ramp up, some visits are to approve added processes and products. Considerable activity is expended to support these visits, as well as plan for increases in production throughput and to develop multiyear contract supply agreements. These are daily topics of our discussions.
 As I stated previously, manufacturing capacity worldwide is being measured, rationed, and taxed to support the production requirements.
 Relative to RBC, we are carefully reviewing our order book, relative to our client base, given our current and projected capacities to ensure our best clients see no disruption in service levels, and our manufacturing efficiencies are not compromised by any loss of economies of scale as a result of industry planning, perturbations, and capacity constraints.
 We fully expect that in the coming years, should the number of planes planned today actually be produced, there will be a shortfall in worldwide qualified manufacturing capacity to support these objectives. We think of that as a wonderful concept.
 These are interesting times and a company can be easily overwhelmed with the demands from this industry. And believe me, we are doing everything we can to be cautious in our commitments and deliberate on planning our growth through this phase of the cycle.
 In summary, we ended the third quarter of fiscal 2012 with $215.7 million of backlog compared to $180 million for the same period last year. Gross margin performance for the third quarter was 35.4% compared to 32% for the same period last year. This is an improvement of 3.4 percentage points better than last year’s third quarter. As we discussed on our last few calls, our internal target is to add 1% to 1.25% of gross margins in fiscal 2012 over 2011.
 For the first 9 months of fiscal 2012, we are much better than planned and exceeding our internal target. These margin improvements are the result of improved pricing on new contracts, as well as process improvements, better execution, and of course greater production volumes.
 Looking ahead, we expect the fourth quarter of fiscal 2012 to hit a high watermark in terms of sales and to be slightly over $100 million.
 I’ll now turn the call over to Dan, who can provide more color on the quarter and the full year. 
Daniel Bergeron: Thank you, Mike. Since Mike has already discussed sales and gross margin, I’ll jump down to SG&A.
 Our SG&A for the third quarter fiscal 2012 increased by $1.7 million to $15 million compared to $13.3 million for the same period last year. As a percentage of net sales, SG&A was 15.8% for the third quarter of fiscal 2012 compared to 16.4% for the same period last year. The increase in SG&A year-over-year was mainly due to an increase in personnel related items.
 Other net for the third quarter of fiscal 2012 was expense of $0.4 million compared to expense of $0.4 million for the same period last year. For the third quarter of fiscal 2012, other net consisted of $0.4 million of amortization of intangibles and $0.1 million of bad debt expense, offset by miscellaneous income of $0.1 million. For the same period last year, other net consisted of $0.3 million of amortization of intangibles and $0.1 million of other expenses.
 Operating income was $18.2 million for the third quarter of fiscal 2012, an increase of 49.2% compared to operating income of $12.2 million for the same period in fiscal 2011. As a percentage of net sales, operating income was 19.1% for the third quarter of fiscal 2012 compared to 15% for the same period last year.
 Income tax expense for the third quarter of fiscal 2012 was $5.8 million compared to $4 million for the same period last year. Our effective income tax rate for the third quarter of fiscal 2012 was 32.1% compared to 35.1% in the same period last year. The effective income tax rate for the third quarter of fiscal 2012 includes $0.4 million of discrete items. Excluding these discrete items, the effective income tax rate for the third quarter fiscal 2012 would have been 34.5%.
 For the third quarter of fiscal 2012, the company reported net income of $12.2 million compared to net income of $7.4 million for the same period last year. Diluted earnings per share was $0.54 per share for the third quarter of fiscal 2012 compared to $0.33 per share for this same period last year.
 Turning to cash flow, the company generated $14.8 million in cash from operating activities in the third quarter fiscal 2012 compared to $14.7 million for the same period last year.
 Capital expenditures was $3.9 million in the third quarter fiscal 2012 compared to $2.7 million for the same period last year. We expect our capital expenditures to be approximately $14 million to $16 million in fiscal 2012, right on target to our normal 3.5% to 4% of sales. The company ended the third quarter fiscal 2012 with $59.7 million of cash, $1.1 million of debt on the balance sheet.
 I’d now like to turn it back to the operator for the Q&A session. 
Operator: [Operator Instructions] And our first question will come from the line of Edward Marshall with Sidoti & Company. 
Edward Marshall: I know you didn’t break it up, but the Houston facility, was there any margin drag on that? 
Daniel Bergeron: Yes. I don’t have the number in front of me, but it’s probably around $500,000 to $600,000. 
Edward Marshall: Okay so it’s really stepped down there. The operational adjustments that you mentioned I guess in the press release and you talked a little bit about it today. Is that capacity to investment or maybe head count and kind of what I guess as a follow-up to that, what’s the current utilization of the facilities? 
Michael Hartnett: Well, Ed, we use our facilities every day. The facility utilization is very strong. I think it’s -- in terms of additional capacity, it’s a matter of training people and adding -- and either adding shifts or adding more people to the existing shifts. We don’t see the need for bricks and mortar or anything to that extreme. 
Edward Marshall: Okay. And then, if I could dive into the financial, well the industrials were quick. You’re going twice the rate of the closest competitor in the industrial business, and they mentioned similar markets responsible for their growth. I know oil and gas is growing pretty well, but is there market share gains there or why are you growing so much faster in that business? And I guess it’s a testament to you, but if you could dive into that a little bit further? 
Michael Hartnett: Well, I think first of all our execution is very good. So we’re taking care of core customers. Our inventory positions are extremely good in the industrial sector. So the availability of product to those markets is the best it’s ever been. And we’ve expanded our sales force into additional regions of the country where we -- in the United States -- where we were sort of underrepresented. And we’ve got a flow of some new products that are well accepted. So I think that we’re doing a lot of things right, and it’s showing up in the numbers. 
Edward Marshall: So can I infer from that that you think you are stealing share? 
Michael Hartnett: Well, I don’t know if it’s so much stealing share as is -- there is new systems being designed and introduced. And our products are on those new systems. And I don’t know if we weren’t there and somebody else’s products would be on those new systems. But I can imagine that’s a -- the market isn’t just stable I mean it’s growing and so we’re growing with it. 
Edward Marshall: And the oil and gas business in the quarter, what was the value of that -- how much did that produce in the sales line? 
Michael Hartnett: Oh gosh. I’m going to be guessing, it’s probably somewhere north of $5 million. 
Edward Marshall: Okay. And lastly, if you could do you know the breakup between the commercial and defense and what was responsible for the growth in the aerospace side? I’m assuming commercial is growing much faster than defense, but if you can breakup that way that would be great? 
Michael Hartnett: Yes, I think Dan is addressing those numbers, right. 
Daniel Bergeron: Yes, we said total aerospace and defense grew at 16%. But we don’t have the number in front of us. But my guess that the commercial aerospace and distribution business probably grew closer to 20%. 
Operator: And our next question will come from the line of Walt Liptak with Barrington Research. 
Walter Liptak: Want to ask about the capacity adds and just specifically how many aerospace facilities are you at, at this point, and how many shifts are you working and, I guess, what’s the increase that you’re expecting? 
Michael Hartnett: We probably have 10 facilities doing aerospace. Some share the aerospace with industrial but there is 10 in the aerospace game. And what was your second question. 
Walter Liptak: Oh well, just how many shifts are these facilities working? 
Michael Hartnett: It varies, I mean it’s hard to add shifts in a place like Switzerland and it’s easier to add shifts in a place like Mexico, so it varies by region. The larger plants are pretty much running, sort of, one and a half shifts. And -- but adding a second shift is not easy, because you have to have services, as well as labor on the shift. Otherwise the shift isn’t as productive as you need it to be. So there is a whole infrastructure growth scenario that has to take place in order to do that confidently. 
Walter Liptak: Okay. And I guess you made some comments early in the call and the aerospace growth rate at 20% looks good. How should we think about where we are in the cycle, there is still -- are we in third innings, are we still early in the game for aerospace? 
Michael Hartnett: No, we’re early -- we're definitely -- if Boeing did, I think, 35 737s in this fourth calendar quarter of the year and really is selling at a rate of 50 on a per month basis. They really need to step it up and they’re trying to determine what are the kinks in there. What are the lumps in their pudding that they can’t step up to 50 and how do they step it up to 50? So you have Boeing attempting to get to 50 on that measure. You have them attempting to get to 10 787s a month and you have the Airbus, with almost a parallel set of objectives and the A350 coming on, where our content is very strong on the A350. It’s actually more than our normal content on a Boeing plane. So I think we’re early in the game here. 
Walter Liptak: Okay. The growth rate looks good. But are you expecting it to accelerate from here. Based on the commentary, it sounds like you’re expecting your order activity to go north of 20% in coming quarters? 
Michael Hartnett: Yes, it’s kind of, the overall answer is yes, but I think there maybe some quarter-to-quarter timing issues with regard to when the contracts are finalized and whether or not there is going to be any more setbacks on some of these Boeing or Airbus programs to introduce the shifts. But overall the wind is at our back on this thing. 
Walter Liptak: Okay. And the backlog decelerated a little bit. I think you said you were at 215 at the end of January. That’s down from 216, so it’s not much of a deceleration. How should we think about the backlog? The growth looks fine, but how should we think about that? 
Michael Hartnett: Well I think in part, well I think that’s timing, in terms of we’re at a critical point in several contract negotiations that -- where we’ve actually reached agreement with customers, but they haven’t released orders in that period. So it’s absolutely timing. When we look at what we have contracted today for just aircraft backlog, over the next 3 to 5 years, I think we would have well in excess of $400 million under contract. 
Walter Liptak: Okay. And the last you mentioned wind at your back but I started thinking about wind. Is there any -- are you seeing any return at all in the wind markets or is it still pretty blown against you? 
Michael Hartnett: No, we’re not seeing any much positive development there at all. I mean other than the testing that we’re going through in the qualification. We’re really not seeing much of an industry pickup. 
Operator: And our next question will come from the line of Samuel Eisner with William Blair. 
Samuel Eisner: So just to go back to the backlog question, it seems it’s going on a sequential basis, orders are actually down about 12%. So is that strictly all timing or is there way to flush out the $95 million of orders in the quarter, aerospace versus industrial, or maybe just some further color on that? 
Michael Hartnett: Yes, I think it’s pretty much timing. I mean, I don't see anything more than that. I think it’s -- we have, as I was explaining to Walt, we were at a critical point on several contract negotiations, particularly in the aircraft side of the business, where we concluded those negotiations over the quarter. So it kind of held up order placement because you don’t know what the prices are until you conclude the negotiation. So I think, I think that should even out over the next quarter. 
Samuel Eisner: Okay. Those contracts are typical kind of 3- to 5-year contracts or those more annual contracts? 
Michael Hartnett: No, they’re more 3 to 5 years. 
Samuel Eisner: Great, okay. Regarding gross margin, obviously, you’ve had now for the first 9 months about 200 basis points of margin expansion, but in this quarter you had COGS coming somewhere close to the first quarter. So what are you doing to be able to keep COGS basically flat on an absolute basis while being able to increase the overall margin. Is it pricing, is it just better productivity, what’s typically is going on that’s leading to the expansion? 
Michael Hartnett: The margin expansion? Well, clearly, it's -- there is a number of things that are playing through there. One is just better execution in some of that in the plants, some of the major plants. And that’s actually better execution comes from the last 24 to 30 months of studying what were the problem children in the mix and deciding how those problem children could be better produced, to be more efficiently produced. So I mean, that’s just -- that’s the gain, that’s our business right there is identifying where there is margin improvement opportunity in our existing mix. And we like to spend time and effort on that sort of thing once we have that under a long-term contract, we don’t like to work on things that are going to be here today and gone tomorrow. So there has been a lot of process engineering improvement there, I think in most of the facilities. I think second to that is that we were in -- over the years we’ve been in startup on several new programs. And so we’re improving our execution through the learning curve on many of those programs. And the added volume is certainly helping with the absorption. 
Samuel Eisner: So is it right to assume then that this is structural, this is not just a one-time benefit where you’re getting north of 35% gross margins? 
Michael Hartnett: Absolutely. 
Samuel Eisner: And then, I guess, 2 final questions, one on basically on the aerospace side, based on the perceived kind of production ramp, for both Boeing and Airbus, I mean when would you foresee having to add capacity, would it be in the next year, would it be in the next 24 months, I mean how are you thinking about that? And then, just lastly on the cash balance, I mean just priorities for cash, obviously with $58 million of net cash, I think, any indication of what your plans are for that? 
Michael Hartnett: Well, I think we'll continuously add manufacturing capacity throughout the next 8 quarters. I mean, I think we’re following the aircraft buildup. We’re trying to understand what the volumes are. We’re trying to take the number of planes that are being built by certain designs, knowing what our mix content in those planes, understanding what the demands are going to be in our plants for those line items, and making sure that the balance between capacity and demand is reasonable. Right now, we’re trying out to -- we've got a little extra capacity. So we’re trying to outproduce some of that demand to get ahead of the curve a little bit. Because we know that the -- if you get behind the curve, it’s very painful for both you and your customers. So I think it’s going to be a very carefully measured and executed program. We’re not going to try to be all things to all people. And we may not be able to take care of the entire customer base. And so we have to be very strategic about the execution during this period of time. Your second question concerned cash, so I’ll let Dan to address that. 
Daniel Bergeron: We -- like always we'll be using that cash to invest in internal organic growth and external growth. About half of that cash is in the United States and half of it is in Europe. And so we’re working hard to find opportunities in both Europe and U.S. to expand our businesses. 
Operator: And our next question will come from the line of Peter Lisnic with Robert W. Baird. 
Peter Lisnic: I guess first question on the optimization of production schedules, is that occurring more on the aerospace side, or industrial, or is that both? 
Michael Hartnett: Well, it’s more on the aerospace side, but it is both. 
Peter Lisnic: Okay. All right. And then if you’re kind of going through that, I guess I could maybe infer that there are some temporary costs that you might be incurring. Will that be an accurate assessment, and if so, can you maybe give us a sense as to what might be going through the income statement for some of those activities? 
Michael Hartnett: Well, it’s -- normally would go through the income statement. It’s product development costs. If we have a new product that we’re developing, there is lot more cost than there is revenue. And so we have a lot of those products right now coming through the cycle; both design, there is cost to design it, there is cost to test it, there is cost to test it with a customer, if he is going to test it or you’re going to test it, and then there is cost to tool it up and usually when you manufacture these things, you hate the margins and you start working your way down the learning curve. So we constantly have that passing through our income statement. 
Peter Lisnic: Okay. But there isn’t necessarily any sort of discrete inefficiency cost necessarily, it’s just the nature of having your product out there? 
Michael Hartnett: Yes, it’s the nature of our business. 
Peter Lisnic: Okay. All right, I was just wondering, if there is anything that was discrete. And then in the -- when you talk about capacity, it sounds like the constraints there are more on the aerospace side, just wondering what the capacity outlook looks like in industrial, whether or not any of that capacity could be fungible and used for aerospace? 
Michael Hartnett: No, actually we’re constrained on capacity for industrial in certain sectors too. Particularly the oil and gas sector. I mean we could sell more if we could make more. So we're definitely constrained there. The -- but the big numbers is probably more towards the aerospace side. And I think right now we're keeping up fine. We need to be getting a little ahead of it in some of the plants. And so we need to be working on that. We need to actually outproduce our sales for a while. And so we have to kind of focus on that those issues. 
Peter Lisnic: Okay. And then your comment about increasing cap -- capacity over the next call it 8 quarters, is it safe to say that we shouldn’t necessarily expect a big step up in capital expenditures for fiscal 2013, it sounds like there is some incremental capital that you’re going to be deploying, but that necessarily any sort of step function change in the CapEx outlook for ’13? 
Michael Hartnett: It should be completely normal and is historical. I think, we can manage it within those constraints. 
Peter Lisnic: Okay, all right, perfect. And then last question, the very strong gross margins in the third quarter and with these markets, your comment earlier about being in a good spot with some of the manufacturing tightness, for the lack of a better term, across the globe. How should we think about where your gross margins could go over the longer-term or maybe operating margins where those can go over the longer-term given the favorable demand backdrop and capacity constraints that are out there globally? 
Michael Hartnett: Let’s hope they can go up. I certainly think they can. The -- I don’t think we’re at any plateau, I don’t know we’re going to have a quarter or a year that increases 2% or 3% gross margin percentage points. I suspect that we can probably get another point, point and a half out of it next year. 
Operator: And our next question will come from the line of Steve Barger with KeyBanc Capital Markets. 
Alexander Walsh: This actually Alex Walsh sitting in for Steve. First off, on the last conference call, you guys talked about re-pricing some contracts at a higher rate. I was wondering if you could update us on the progress of those, I mean especially given kind of conversation that we’ve been having about constraining CapEx, just in terms of where you guys are and in terms of reprising those contracts? 
Michael Hartnett: I don’t remember this, I don’t remember saying that. Can you -- it’s a little out of context for me, can you add a little flavor around it? So maybe I can recall the -- exactly what the subject was? 
Alexander Walsh: I think you said that a portion of your business would be subject to reprice. I believe the comment was in the range of 40%. It was towards the latter end of the last conference call? 
Michael Hartnett: I’m just -- Dan, I’ve just drawing a blank here. 
Alexander Walsh: It’s all right, I’ll move on. I guess I mean everyone’s -- I think we’ve covered aerospace OEM pretty well, but I was wondering if you can kind of talk about what you guys are thinking in terms of the growth rate for defense. I know that Boeing is taking decent orders for the Chinook. And I was wondering what platforms you guys are looking at, and how we should be thinking about that business going forward? 
Michael Hartnett: Well, I mean we’re -- basically, you look at the major platforms that the military uses today for helicopters and fighters and we’re pretty much across the board. Some platforms being more important to us than others. The Chinook being one of the more important platforms. I think the defense business in our structure, we have several new programs coming on. And I think the new programs will replace some of the consolidation, if you want to call it that, in the defense department and we should pretty much be able to hold that part of our business even. I don’t see there is going to be a growth sector. If it were growing, it would be maybe a little bit difficult to support. A lot of that business also goes through the aircraft airframe plants. So I think it’s going to be steady for the next few years. With the exception of ground defense, which may grow a little bit. 
Alexander Walsh: And what platforms will that be on? 
Michael Hartnett: For defense? 
Alexander Walsh: For the ground platforms? 
Michael Hartnett: The MRAP, the -- just Buffalo and all that mine resistant hardware that is being produced and reconfigured. 
Alexander Walsh: Okay. And obviously you’re getting good growth on the OE side of the aerospace. But I was wondering if you can talk a little bit about aftermarket. How much did that makeup in the quarter and how you guys thinking about the growth there? 
Michael Hartnett: Well we’re seeing -- what we call aftermarket are aircraft distributors. And aircraft distributors actually support as much OEM business as they do aftermarket business, as they look for a way to expand their business, so they chase down the smaller OEMs in the supply chain and sell them product. So we -- in total, we saw that part of our business, grow nicely over the period, pick up pretty well. The -- I suspect less than half of that business is truly replacement, but in total that that side of the business expanded well. 
Alexander Walsh: Okay. And as I look at the seasonality of your business, I know that typically fiscal 4Q tends to experience a pretty solid sequential increase in revenue. Actually looking back to 2003, it looks like it’s been about $11 million on average. I was wondering if there is anything that you’re seeing or how should we be thinking about the sequential revenue guidance in the next quarter. Anything that you’re seeing that might differ from what it’s historically been? 
Daniel Bergeron: We just don’t give guidance anymore. Mike in his opening comments gave to everybody a little hint where we thought Q4 would be. So I think really that’s all we have to say on the Q4 numbers. 
Operator: [Operator Instructions] And our next question will come from the line of Gregory Macosko with Lord, Abbett. 
Gregory Macosko: I'd just like to confirm that Dan was correct on your comments regarding contracts. You did mention that there were number of contracts in aero that were rolling of after 4 or 5 years, and all of which you said would have higher pricing. Are those contracts all, the ones that are rolling off, have they been completed at this point? Signed and renewed and everything? 
Michael Hartnett: Yes, pretty much. I'd say the answer to that question, now that’s in context for me, I think the answer to that question is yes. And has the pricing improved? On most of them, not on all of them. 
Gregory Macosko: Okay, okay. And then with regard to your comment on -- you mentioned that you were overproducing et cetera, or producing to kind of get ahead a little bit. I didn’t see anything regarding inventories in the release, talk to be about where do inventories stand and what happened to it on a sequential basis, second to third quarter? 
Daniel Bergeron: The inventories for the end of December, about $161.6 million. 
Gregory Macosko: 160 you said, I’m sorry? 
Daniel Bergeron: Yes, $161.6 million. And so for the 9-month period it is up around $17 million. 
Gregory Macosko: So did it rise from the second quarter significantly or not? 
Daniel Bergeron: Yes, not, well it from $161.6 million and we’re at $155.2 million in the second. 
Gregory Macosko: Okay, so it’s really not. You’re not, in other words you’re not absorbing particular overhead by building inventory in the quarter is what I’m hearing you’re saying there. 
Daniel Bergeron: Yes. 
Gregory Macosko: And then talk me about the CapEx. Last quarter you said $12 million to $14 million, now it’s $14 million to $16 million. When -- and obviously you were mentioning about the 8 quarters of expansion, et cetera, steady slow expansion. What are we talking here? Is it basically just kind of equipment that kind of, as you go along -- oh, we need some more, so you’re adding more lines or things? Tell me what it means when the CapEx budget goes up a little bit? 
Daniel Bergeron: Okay. It’s a combination of 3 things really going into the fourth quarter. Normally about 70% of our CapEx is capacity related, where we’re rebuilding machines or buying new machine tools. And about 30% is maintenance related, where we’re working on buildings and et cetera. In the fourth quarter, we bumped it up a little because we have one building that we’re actually buying a new building in one of our facilities to increase a little bit of capacity. And that’s going to earn us about $1.3 million. So that’s what -- good opportunity came up on the market for an asset and so we took advantage of that. But still, we’re still between that 3.5% to 4% target that we’ve always run at, as percentage of sales. 
Gregory Macosko: Well if I just take the $16 million and divide it by 0.035 I get $457 million revenues for the year. Do you think that make sense? Only joking. Okay. 
Daniel Bergeron: No comment. 
Gregory Macosko: All right. What about the warehouses in Chicago and Dallas? I know that you were opening some there. How did that go? What’s going on there? 
Michael Hartnett: It went fine. Chicago is up and running and Dallas won’t be up and running until probably March 1st, maybe March 15th. 
Gregory Macosko: And is that -- are those industrial warehouses or is that the aero distribution you mentioned. What is that stands? What did that serve? 
Michael Hartnett: Industrial. 
Gregory Macosko: Industrial, good, okay. And I sense -- you said last time you talked about the content rising on, with Boeing, particularly relative to the 787. Your talk of the new product development, et cetera, that I assume that that trend continues with rising content, kind of a per plane basis? 
Michael Hartnett: Absolutely. 
Gregory Macosko: Okay. And finally you -- I think you mentioned -- clearly the margins have been great, but gross margins particularly are very nice. And the -- you mentioned another 100 basis points or so, I think, in ’13, if that’s possible. I mean, in effect, even though you outperform your original expectations in fiscal ’12, you just still have the same incremental expectations on the gross margin line I think in ’13? 
Michael Hartnett: Yes, we’re resetting a little bit. We’re resetting the -- our expectation of improvement to the new basis. 
Gregory Macosko: Okay. And in your release you talked about necessary adjustments operationally to ensure that we can continue capitalizing on these opportunities. This is kind of what we’re talking about with regard to outproducing and the like, that’s what you’re referring to in this regard to your order book? 
Michael Hartnett: Yes, we have a certain strategy, which is confidential on how we execute these businesses. And in part, that’s responsible for the margin improvement. And in part, that’s responsible for our outstanding reputation for customer service. 
Operator: And our next question will come from the line of Samuel Eisner with William Blair. 
Samuel Eisner: Just a couple of quick follow-ups here. Regarding -- you said that you’re being somewhat selective on your revenue and you’re putting customers on allocation, or you’re basically picking and choosing who -- which customers will get revenue. Is there a way to quantify any missed revenue opportunities in the quarter based on your selectivity? 
Michael Hartnett: Not that I know of. And – no, I don’t, I don’t know how to do that. 
Samuel Eisner: Okay. And then additionally, there seems to be a big contract out there for Navistar for the MRAP program, it’s about $900 million or so, presumably would you -- have you began to see any orders from that. Is that currently in your numbers or is that the growth rates that you’re talking about potentially coming forward? 
Daniel Bergeron: That’s a good question. It would be potential growth -- it all depends which vehicle it is, and what the setup is on the vehicle. 
Samuel Eisner: Okay. To my knowledge it seems as though that you’ve pretty good content on the MRAP program. So presumably that would be a benefit, but as you said it depends on the content or it depends on the company? 
Michael Hartnett: We expect to see that benefit. 
Operator: Ladies and gentlemen, this concludes the question-and-answer portion of our call. I will now turn the call back to Dr. Michael Hartnett for any closing remarks. 
Michael Hartnett: Okay. Well, in closing I want to thank everyone for their continued interest and support of RBC Bearings and for participating in today’s discussion, and for making RBC part of your investment strategy. Thank you very much. 
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Good day, everyone.